Operator: Welcome, ladies and gentlemen to the Bird Construction Second Quarter 2024 Results Conference Call and Webcast. We will begin with Teri McKibbon, President and Chief Executive Officer's presentation, which will be followed by a question-and-answer session. [Operator Instructions] As a reminder, today all participants are in a listen-only mode, and the webcast is being recorded. [Operator Instructions] Before commencing the conference call today, the company reminds those present that certain statements, which are made express management's expectations, or estimates of future performance, and thereby constitute forward-looking information. Forward-looking information is necessarily based on a number of estimates and assumptions that, while considered reasonable by management, are inherently subject to significant business, economic, and competitive uncertainties and contingencies. Management's formal comments and responses to any questions you might ask may include forward-looking information. Therefore, the company cautions today's participants that such forward-looking information involve known and unknown risks, uncertainties and other factors that may cause the actual financial results, performance, or achievements of the company, to be materially different from the company's estimated future results, performance, or achievements, expressed, or implied by the forward-looking information. Forward-looking information does not guarantee future performance. The company expressly, disclaims any intention or obligation to update or revise any forward-looking information, whether as a result of new information, events or otherwise. In addition, our presentation today, includes references to a number of financial measures, which do not have standardized meanings under IFRS, and may not be comparable, with similar measures presented by other companies and are therefore considered non-GAAP measures. At this time, I would now like to turn the conference over to Teri McKibbon, President and CEO of Bird Construction. Please proceed, sir.
Teri McKibbon: Thank you, operator. Good morning, everyone. Thank you for joining our second quarter 2024 conference call. With me today is Wayne Gingrich, Bird's Chief Financial Officer. Before we proceed with today's call, I'd like to take a moment to honor the memory of Karyn A. Brooks our esteemed Board member and Chair of our Audit Committee who recently passed away. Karyn joined us in 2017 and was a pillar of integrity and dedication. Her leadership and insight profoundly impacted Bird. Our thoughts are with her family during this difficult time, and we will commemorate her legacy with a donation to a charity chosen by her loved ones. Karyn will be deeply missed and her contributions to Bird over her tenure will continue to deliver benefits to the company going forward. Turning to today's presentation. Bird continues to execute on our disciplined growth strategy and reinforce our proven track record of operational excellence. The company's strategic focus on being a leading collaborative construction company continues to drive growth and better outcomes for all parties, and the strength of our balance sheet positions us to invest in profitable organic growth, and pursue attractive acquisitions in today's active market. Turning to our second quarter financial highlights. Bird had another quarter of significant growth in revenue and profitability. Revenue was up 27% over a year ago to $874 million and adjusted EBITDA increased 58% to $47 million. Adjusted EBITDA margin continued to improve reaching 5.3% for the quarter, a full 1% better than a year ago. The company's operating cash flow before investments and non-cash working capital also grew significantly, compared to last year. Our sustained financial performance reflects the progress we've made to date on our 2022 to 2024 strategic plan, setting a solid foundation as we head into the next phase of planning. The company's diverse and well-balanced combined backlog of work, reached record levels in the quarter and remains over 90% low-to-medium risk contract types, with over 75% of the work being collaborative in nature. The demand environment is robust and there remains a healthy pipeline of opportunities we are pursuing at accretive margins. Bird added almost $825 million in securements to its backlog in the second quarter maintaining a backlog of contracted work totaling $3.4 billion at quarter end. The company's pending backlog of awarded work grew by over $300 million in the second quarter to $3.7 billion and includes almost $900 million of MSAs and other recurring revenue contracts. Bird's combined backlog continues to reflect increased embedded margins driven by the company's strategic focus on higher margin sectors and disciplined pursuit of new work which gives us confidence that we will continue to improve margins through the second half of 2024 and beyond. Bird remains committed to profitability discipline diversification and growth through our focus on margin accretion organic growth and accretive M&A opportunities. We continue to improve margins in our core business through disciplined project selection, a risk balanced mix of projects, collaborative contracts and increasing our self-performed capabilities to cross-sell our scopes and services. We keep our sights set on productivity and efficiency enhancements as we grow to further leverage our cost structure as well as targeting M&A sectors with specialized capabilities with higher margin potential. In line with this strategy, we're pleased to announce the successful completion of our acquisition of Jacob Bros last week, which I will touch on more later in the presentation. Centered on driving growth across key markets and sectors that present robust opportunities over the longer term, our strategy includes expansion in our nuclear, mechanical, electrical, civil infrastructure utilities with an emphasis on energy transition and data-related infrastructure. Bird continues to be a go-to partner for collaborative delivery on sophisticated complex projects. During the second quarter of 2024, the company announced the award of five projects with a combined total of over $625 million. These projects include multiyear mine infrastructure in Eastern Canada, three long-term care projects and a multi-building institutional project in Western Canada. Overall, we continue to be intentional in our project selection as we increase our self-perform capabilities and cross-selling opportunities throughout the organization and we remain focused on long-term value creation. The electrification market continues to experience significant growth and transformation. In Canada, several key trends are shaping the market including expansion of clean energy infrastructure, investment in renewable energy, regulatory support and positive market projections. Our successful track record of serving top-tier energy and power clients across the country has set us up as a preferred partner in key markets including wind, hydroelectric nuclear, critical mineral, uranium mining, battery manufacturing and other EV supply chain support infrastructure. Bird is well positioned for future opportunities in the energy transition landscape through our strong commercial systems and utilities civil infrastructure industrial construction and industrial maintenance teams. Recently, we announced our collaboration in the Canadians for CANDU campaign. This initiative aims to promote the use and deployment of CANDU nuclear technology at home and abroad to not only help Canada achieve net zero emissions but maintain a strong domestic nuclear industry. Bird is proud to champion expansion of our domestic technology for a cleaner, more prosperous future for Canadians and contribute to global efforts towards a net zero future. Bird is well positioned to capitalize on the significant tailwinds presented in both the public and private sectors. Driven by global population growth, urbanization, aging infrastructure and energy transition investments, we are seeing elevated spending across our key industrial buildings and infrastructure markets. As we look ahead, we expect these positive conditions to propel our business forward over the medium to long-term. Our transformed business model continues to create value through a collaborative framework allowing us to leverage our self-perform and cross-selling abilities to capitalize on future opportunities. We remain focused on higher-margin market sectors for continued bottom and top line growth. Public sector continues to present a robust market for opportunities with growth innovation and sustainable development. The recently announced launch of the Canada Public Transit Fund, $30 billion investment that represents the largest public transit investment in Canadian history, will invest an average of $3 billion per year to help cities and communities across the country to deliver better, more accessible public transit systems for Canadians. As mentioned in the previous slide, the energy transition continues to grow the renewable energy market in response to Canada's need to roughly double its electrical supply. Investments into energy generation projects continue to climb in the 2024 federal budget reiterating commitments to invest in nuclear as clean energy technology including Canada's Infrastructure Bank's $970 million investment in Atura Power Generations grid-scale SMR project and a proposed $3.1 billion investment over 11 years in support of Canadian Nuclear Laboratories work. In the province of Ontario, the government is investing $155 million to fast track construction of the next tranche of long-term care homes as well as an additional $1 billion investment in core infrastructure projects and $50 billion over the next 10 years in health infrastructure. Currently, BC represents the largest infrastructure market in Western Canada with a robust pipeline of opportunities through longer-term across transportation, utilities, power housing, institutional and public facility sectors. Both the provincial and municipal governments in BC have committed substantial funds to various infrastructure projects including significant modernization and expansion efforts across transportation and power sectors. Examples of these efforts include Vancouver International Airport's $9 billion expansion plan that is underway until 2037, The Port of Vancouver's $3 billion expansion to enhance capacity and efficiency over the next six years, BC Hydro's $1 billion plan to upgrade the electrical grid in 2024 with a 10-year plan indicating over $36 billion in investments. Additionally, BC Mining Association has reported a near-term investment of $36 billion to help 16 proposed critical mineral mines. Last week we were happy to officially welcome Jacob Bros to the Bird team supporting our capability to capitalize on the significant opportunities available in BC. This acquisition allows us to pursue projects of varying size complexity and scope allowing us to cross-sell our combined self-perform services and offer more comprehensive solutions to our clients. Jacob Bros was a privately owned civil infrastructure construction business headquartered in Surrey BC with a highly skilled workforce of approximately 350 salaried and craft personnel who continue -- who will continue to deliver their services under the Jacob Bros brand. Jacob Bros brings significant self-performed capabilities that complement Bird's already extensive scopes and services specializing in infrastructure projects, including airports, seaports, rail, bridges, structures, earthwork, energy projects and utilities. Jacob Bros also brings expertise in specialized projects that require innovative purpose-built custom solutions and leverage their suite of comprehensive services. These projects range across multiple sectors including healthcare education and light industrial. The leadership team has built a strong people-first culture and like Bird provides their employees with the tools they need to execute successful projects and build long-term construction careers. The company has a strong culture of safety and a proven track record of safe operations. The current leaders Scott and Todd Jacob bring extensive experience and leadership to Bird. Both leaders will continue as part of the Bird executive team and as previously announced will lead our Western infrastructure business including Jacob Bros. The acquisition of Jacob Bros was compelling for several key strategic operational and financial reasons. The transaction advances Bird's strategy to build out a national full-service infrastructure vertical. Over the past few years, we have strategically diversified our revenue sources through organic growth and strategic M&A, while at the same time we have significantly enhanced our profitability. On a full year basis Jacob is expected to generate approximately $300 million of revenue, $37 million of adjusted EBITDA adding significant growth to Bird's infrastructure vertical. The company also brings a robust project backlog of approximately $350 million including significant infrastructure projects across multiple sectors. Jacob Bros self-performed services along with special projects expertise is expected to accelerate Bird's adjusted EBITDA margin accretion and support further shareholder value creation with an anticipated 10% increase to adjusted EPS on a full year basis. As with past acquisitions, we are heavily focused on post-acquisition growth and we see significant upside potential from cross-selling opportunities and other synergies in the combined business. Wayne will now cover the financial highlights for the quarter.
Wayne Gingrich: Thank you, Teri. Bird's second quarter continued to deliver substantial revenue and earnings growth executing record high volumes of work in the quarter and delivering earnings growth that significantly outpaced revenue growth. Construction revenue for the second quarter of $873.5 million represented a 27% increase compared to the same period in 2023. On a year-to-date basis revenues of $1.56 billion for the first half of 2024 were $339 million or 28% higher than 2023. The growth for both the quarter and first half of 2024 was over 90% organic. The company's gross profit margin improved in the quarter compared to 2023 increasing to 8.6% from 7.9%. The improvement continues to be driven by the company's highly collaborative work program, with higher embedded margins in backlog and pending backlog, resulting from Bird's strategic focus on higher margin sectors, disciplined project selection and the benefits of leveraging Bird's self-perform capabilities and cross-selling opportunities across our business units. On a year-to-date basis gross profit margin was up 60 basis points to 8.3% compared to last year. General and administrative expenses were $43.6 million, or 5% of revenue for the quarter, and include $1.3 million of transaction costs related to our recently completed acquisition of Jacob Bros. This compares to $36.2 million, or 5.3% of revenue in the second quarter of last year. The company continues to gain leverage on its cost base gaining efficiencies as the company continues to grow. Adjusted EBITDA in the second quarter was $46.6 million, a 58% increase over the $29.5 million reported a year ago. Adjusted EBITDA margins continued to increase on a year-over-year basis reaching 5.3% for the quarter and 1% better than last year. Turning to earnings. Net income and earnings per share were $21.4 million and $0.40 respectively, compared to $13.7 million and $0.26 in 2023. Adjusted earnings and earnings per share were $22.7 million and $0.42, compared to $15.7 million and $0.29 in 2023. The weighted average shares outstanding for the second quarter of 2024 was 117,000 shares higher than 2023 due to the acquisition of NorCan in the first quarter. Bird's healthy balance sheet and strong operating cash flow generation are a differentiator for the company and support our strategic growth initiatives, including the ability to pursue attractive M&A opportunities, such as the Jacob Bros acquisition, we announced in June and completed in August. In connection with the acquisition, Bird took the opportunity to amend its syndicated credit facility, extending the maturity one additional year to 2027, and expanding the revolving facility to $300 million to support the larger combined company. The company also increased its term loan facilities to $125 million allowing for the repayment of existing term loans and funding a portion of the Jacob Bros acquisition. Bird closed the second quarter with $102 million in cash and cash equivalents and an additional $197 million available under our revolving credit facility allowing the company to continue to invest in growth-related working capital. Project-driven capital expenditures and potential tuck-in acquisitions to further enhance our service offerings and self-perform capabilities. We expect Bird's operating cash generation will remain strong for the year commensurate with the significant revenue and profitability growth being delivered. Excluding seasonal and growth-related investments in non-cash working capital, operating cash flow generation was up 65% for the quarter and 69% year-to-date compared to last year. With the seasonal increases in non-cash working capital unwinding over the second half of 2024, we continue to expect positive operating cash flows for the full year. The company's working capital of over $244 million at the end of the second quarter supported by liquidity available under our syndicated credit facility are more than sufficient for the company to execute its backlog and to accommodate expected growth in our diversified work program. The company has a current ratio of 1.25 times and our adjusted net debt to trailing 12-month adjusted EBITDA ratio stands at 0.86 times. Bird's long-term debt-to-equity ratio was 20% at the end of the quarter. Over the past four years Bird's revenue adjusted EBITDA and adjusted EBITDA margins have experienced a period of sustained growth. Trailing 12-month revenue has grown at a compounded annual growth rate of 22%, we're doubling the company's annual revenue. Adjusted EBITDA has grown at a compounded annual growth rate of 35% over the same period. Trailing 12-month adjusted EBITDA margins increased from 3.6% to 5.2% reflecting management's strategic focus on margin accretion with further opportunity to expand through 2024 and beyond. As Teri mentioned earlier in today's presentation, the company's margins have been continually improving our backlog and pending backlog. These improvements have been driven by efforts over the past several years to diversify into higher margin sectors with a disciplined focus on project selection and an appropriately risk balanced work program with greater use of collaborative contracting methods, which Bird believes delivers better outcomes for all stakeholders. Margins have also benefited from leveraging Bird's expanding self-perform capabilities and increased cross-selling opportunities between our business units and newly acquired assets. This can be seen in the results for the second quarter of this year, where we took another big step up in our margins, leading into the second half of the year. Bird continues to follow a balanced capital allocation strategy supporting the company's business growth, profitability and enhance long-term shareholder value through a combination of M&A, smart capital investments and returning capital to shareholders through dividends. The company continued to invest in equipment to support our growing work programs in the second quarter and returned over $13 million to shareholders through our monthly dividends in the first half of 2024. Bird completed the acquisition of NorCan in the first quarter and announced the acquisition of Jacob Bros in the second quarter which was completed on August 1. For full year 2024, the company expects to retain greater than two-thirds of net income to support growth. I will now turn the call back to Teri to comment on the outlook for the company.
Teri McKibbon: Bird's combined backlog along with a robust pipeline of attractive opportunities actively being pursued continue to reflect higher embedded margins to provide confidence in the company's ability to drive further growth and margin accretion. Focusing on the right sectors and selectively pursuing work that has a strategic alignment between capabilities, project type and delivery model, with a strong focus on early contractor involvement and collaborative opportunities, continue to drive improved outcomes for all parties. We anticipate strong full year growth in earnings, revenue and operating cash flows, bolstered by the recent acquisition of Jacob Bros on August 1. With five months of Jacob Bros' revenue to be consolidated in Bird's results for 2024, the company expects combined revenue to approach $3.5 billion for the year. In addition, Jacob Bros is expected to immediately add over $350 million of risk balanced margin-accretive backlog and pending backlog with a wealth of significant opportunities being pursued with public and private clients throughout Western Canada where Jacob Bros maintains strong relationships. What enables us to pursue attractive opportunities in the current M&A environment and support our strategic growth initiatives such as the Jacob Bros acquisition is our healthy balance sheet. We expect to have strong cash flow generation in the second half of 2024 with seasonal unwinding of investments and noncash working capital towards the end of the year. Longer term, we remain committed to a dividend payout ratio of net income of approximately 33%. We are pleased to announce that we will be hosting our 2024 Investor Day on October 9, where we will share our plans of Bird's next phase of growth. During this hybrid event with attendees both in person and virtually, we will unveil our 2025 to 2027 strategic plan and provide more specific guidance for the upcoming three years. More details and registration information will be available in the near future. With that, I'll turn the call back to the operator for questions.
Operator: [Operator Instructions] And today's first question comes from Chris Murray with ATB Capital Markets. Please proceed.
Chris Murray: Thanks, folks. Good morning. Just maybe turning back to this revenue growth rate. I guess it took a lot of us by surprise just the strength of it. And I think as you pointed out Wayne in your presentation, you're running at around a 22% growth CAGR. You talked about kind of approaching $3.5 billion I guess for this year. I guess, a couple of questions on this. I mean one, the sustainability of this on top of M&A is I guess the question we're all trying to get our heads around as we go further into maybe '25 or '26, book-to-bill on a trailing basis is still kind of supportive of at least kind of 10% maybe more. But I guess what we're trying to also understand is, how the collaborative contract model because I guess even the projected backlog kind of took a big step up as well. So maybe can you help us understand what you think your – that CAGR looks like over the next couple of years as we try to maybe gauge this a little bit better that would be helpful.
Teri McKibbon: Yes. I think obviously, the performance in the 20s is certainly yes, I don't think we would sit here confidently and suggest that's sustainable over multiple years. But there certainly is a lot of strength in the projects that we're in. I think what's really paying off Chris for us is we're highly diversified now into a lot of sectors and we've diversified into sectors that have a lot of momentum. And when you get some momentum behind, you certainly you attract a lot of talent being public. Obviously, we're out in the markets and you see a lot of things about us. And the sectors we're focused on are really not that cyclical to be honest with you. We got a nice balance now east west, in which we've been focused on in terms of geographical diversity and we've got I think a really nice end market balance with a nice balance between public and private markets. So yes, there's certainly lots of wind in our sails. And I think the space we're in certainly gives us a lot of confidence that we're going to have strong demand for our services for the next few years.
Chris Murray: Okay. And then Wayne, I think you talked about the ability of you folks to start getting some additional operating leverage on SG&A. And you back up to kind of the one-time costs for acquisitions in the quarter and if you think about G&A expenses, even as you layer on Jacob's, is that kind of normalized run rate kind of – that kind of call it just over $40 million a quarter number. Like how far can you drive revenue before that number needs to move? Or is it something that just sort of – you think you've got everything you're going to need to have today, so any color you have on that operating leverage would be helpful.
Wayne Gingrich: Yes, certainly. So I think in terms of G&A, yes, if you take a transaction cost and those types of things I think either $40 million or just over is not a bad run rate when you think about our business today. But at the same time one of the things we have been doing is making strategic hires over the last couple of years kind of adding key people every quarter, but it's not on their own. They're not individually material enough to move the needle in a single quarter when you make those hires. But for us to continue the growth we're on it's important to have the people to deliver those projects. And in some of the sectors we're in, we're adding some very specialized skill sets and they're going to be in G&A for a while until we win some of those projects and convert to direct costs. But I guess the short answer to your question is yes, probably $40 million is not a bad estimate on run rate.
Chris Murray: Okay. And along those lines I mean I think when you did the Stuart Olson acquisition, we spent a lot of time talking a little bit about systems and processes. I guess the other piece of this is growth is great but you still have to manage it. Do you feel like you've got call it the base now that the organization can support these types of growth levels over the next couple of years?
Teri McKibbon: Yes, we're very confident in that Chris. We're 80% through a new ERP for the company. That's gone very well. Certainly, it's tracking on schedule and ahead of budget at this point and that gives us a very strong foundation to obviously, integrate the companies that we have in our mix. And like I said we're 80% through that. But it's also the type of technology we're using will be leading edge in terms of giving us the tools to lead in the environment across many different aspects of our business. Not just specifically financial control, a lot of operational controls, a lot of safety aspects that are evolving technology obviously, efficient management of our fleet, it's really impressive the new tools that we're rolling out to our operational teams and we had tremendous feedback on the uptake of the use of those tools.
Chris Murray: All right. That’s helpful. Thank you, gentlemen. I’ll pass it on.
Wayne Gingrich: Okay, Chris.
Operator: And the next question comes from Sean Jack with Raymond James. Please proceed.
Sean Jack: Hey. Good morning, guys.
Wayne Gingrich: Good morning, Sean.
Teri McKibbon: Good morning, Sean.
Sean Jack: So there's been definitely more mentioned lately on the MSA work and recurring revenue work that's embedded in the backlog. Just wondering if you wanted to describe any new opportunities that -- for that style of work -- that's going to be unlocked by the Jacob's deal still coming up.
Teri McKibbon: Well, on the Jacob's side, certainly, they have a regular run rate of work they do, for example, at YVR in Vancouver that you would -- I don't know that they would characterize it as an MSA per se, but it is in that sort of framework. A lot of the work they do exists across a number of different government-type clients and repeatable clients that they have performed work for that’s special in nature. And then, obviously, the civil side they work across a number of different sectors. But Jacob certainly is -- we're excited about integrating that acquisition now that's well underway. And obviously with the demands in the BC marketplace, it really positions us nicely to cross-sell that business into some of our other activities that we already have underway in BC. So very excited about it but...
Sean Jack: Perfect. Okay. That's helpful. So kind of in the same vein as well, wondering if you could provide any sort of details on the projects or the backlog project mix at Jacob. I know that you guys had mentioned that its risk balance. Is there any sort of goalpost you would put out between fixed-price and collaborative-style projects for that?
Teri McKibbon: So they have a mix of things. Again, they work across a number of diversified areas in BC. They do what we would call unit price work where they work for governments where the government takes risk on quantities and design and that kind of thing. And Jacob, obviously with their history and experience, provides the unit price for a lot of that kind of work. So in that regard, I think we like it. We obviously did our thorough due diligence on their backlog and worked through the types of things they were doing and were quite impressed. And the skill set they have, the margin profile they have, reflects how -- what a quality business that company is. And how well they operate and how professionally they operate.
Sean Jack: Okay. Awesome. Yeah. That's all for me. Guys, I turn it over. Thanks.
Wayne Gingrich: Thanks, Sean.
Operator: And our next question comes from Ian Gillies with Stifel. Please proceed.
Ian Gillies: Good morning, everyone.
Wayne Gingrich: Hi, Ian.
Teri McKibbon: Good morning, Ian.
Ian Gillies: You've talked a little bit about adding senior talent in various places. Are you maybe able to flag for us some of the end markets that those folks would have focused on and whether they may be new to Bird or whether they may be additive to Bird?
Teri McKibbon: Yeah. It's a mix of things. Certainly, with our growth in nuclear, we've added some top-tier leaders to support that growth with the demands that we're seeing now in a mix of energy-related projects and the scale of these projects. We've got certainly some new horsepower that's supporting that. If you think about our infrastructure business, we've got obviously a broad scale of opportunities. So, we've been -- that business has been growing organically in Eastern Canada and ultimately in the West with Jacob Bros bringing a top-tier team to the table. Now moving across some of the other sectors, I'd say, on our building side, demand is high both East and West. So, we're continuously adding new resources. Our modular business is gaining some momentum, and we have certainly new leadership supporting that business. So, I'd say overall, we are very careful to obviously have the horse before the cart. And as such, we are often well advanced in adding the leadership capacity to balance the demands, not the other way around. We typically have that on the front end, then move from there.
Ian Gillies: That's helpful. And as we think about the 2024 revenue guide, the first half growth was quite frankly outstanding and it looks like there's going to be a little step down in the back half of the year. Is it a reflection of conservatism in the back half of the year right now? Or was there some benefits from weather that allowed you to be more productive in the first half of the year? I'm just trying to understand why it's changing a little bit.
Wayne Gingrich: Yeah. I guess, a couple of things. So in the back half of the year, I wouldn't say the growth, the growth is low we did have a strong second half of 2023 in terms of revenue. So the comparables are a little bit tougher than the first half of 2023 versus first half of 2024. But in our outlook section of the MD&A including five months of Jacob Bros, we've said that revenue was going to approach $3.5 billion. And without Jacob Bros just kind of -- the rest of Bird if you will including NorCan would approach $3.4 billion. So the growth in the second half is still 20% plus, which is still pretty healthy growth, now some of that's organic obviously with Jacob Bros being plus or minus $100 million that we called out there. But still pretty strong organic growth on the Bird side.
Ian Gillies: No, that makes sense. And I was not trying to imply that it's not a strong organic growth just trying to understand the change. The other thing I was perhaps hoping to spend a little bit of time on was as you think about self-perform capabilities within the business now versus 24 months ago and perhaps where you want to be two years from now, can you maybe talk about how you're thinking about driving that change and how that ties in with your call it margin aspirations?
Teri McKibbon: Well, certainly, I think we've built a really strong foundation with the business. We've got the three pillars now, well-established industrial and buildings and in infrastructure. The demands in those three verticals certainly have been quite strong and we've positioned ourselves in each of those to focus on segments that have considerable demand in that regard. So I think you add the new capabilities we have in the various sectors with this army of electricians that we employ that can position ourselves in a good place with some of the large data center work that's evolving and that's not certainly going away anytime near anytime soon. So, yeah, I think overall as we transition now into the next couple of years we're in a really good spot.
Ian Gillies: Okay. Thanks very much. I’ll turn the call back over.
Operator: Our next question is from Maxim Sytchev with National Bank Financial. Please proceed.
Maxim Sytchev: Good morning, Teri and Wayne.
Teri McKibbon: Hi there.
Maxim Sytchev: I was wondering, if it's possible to get any color around the pricing dynamic in the private sector right now, because I mean it feels like some of data points maybe are not as positive what you guys are seeing on this call, so I'm just wondering what you can tell us about the pricing.
Teri McKibbon: Yeah. So I wouldn't say, Max, we've -- the demands for our services are still very high. We say no a lot to clients mainly because of our specific selections of the types of things we want to do and the margin profile that we are looking for. There's many different opportunities that come through our office that we decide that just aren't the right fit for us. So I'd say the market in the sectors we're in and again they are often very specialized things like nuclear, things like obviously the capability to deliver an LNG facility ability to deliver a new chemical facility production facility. If you start to look through those renewable side, hydroelectric nuclear those are our sectors that gets a steep hill to climb to get to the entry level of those sectors. So I think with us we have that benefit of a very high portion of the work we do is very specialized and there's only a few companies that obviously have that capability. And we're also seeing I'd say a decent pull from some of the entities that would focus in North America, they're being pulled into the US with the demands there. Some of the companies that historically have worked in Canada from different parts of the world or from the US are pulling back now to focus on their opportunities in the US. So that creates a stronger marketplace or at least a strength in market -- in the sense of strength and demand and obviously margin profiles there's no pressure on margins because of that. So I think where we position ourselves has given us some really strong momentum and confidence for the next three years.
Maxim Sytchev: Okay. No that's a very good point. And I just have one kind of like operational sort of HR question. As you're obviously pushing kind of this one Bird team approach, I'm wondering about when you move people around sort of across the country like how easy it is to do is it a little bit easier to have it work kind of like over the hump of challenges to find people? Maybe just any color on the subject. Thanks.
Teri McKibbon: I think we've had really good success with that. And I think it's the types of individuals that we are looking for. We really enjoy what we're doing. Now that we're on what I would call a common technology platform, they can plug and play no matter where they go. Young people today I think have a higher interest in learning different types of things and are excited about that. The big remote projects that we used to do that used to be more difficult to get our employees to go to now are very modern facilities. We don't call it camps anymore they're really lunches, the uplift in pay for those projects is high. So young people they like the mix they like the fact that they can go out on a project and work for two weeks and then have a week off on a rotation they go somewhere in the world for a holiday. So it's become a nice balance and there's still going to be individuals that are attached to a certain location in the country because of family reasons aren't as easy to move. I'd say coming through COVID we've all learned to be very efficient with virtual capabilities. And now with the new technology platforms that are evolving you do a lot of things in a virtual framework at times. So I think in that regard we don't like our district leaders don't raise flags about their ability to attract employees or move employees from one location to the other at all. So that's a leading indicator for me. So I think in that regard we're obviously managing it well.
Maxim Sytchev: Yeah. Okay. No that's a very good point, sir. Thank you so much for all the color.
Teri McKibbon: Thanks, Max.
Wayne Gingrich: Thanks, Max.
Operator: [Operator Instructions] And the next question comes from Atharva Zaveri with TD Cowen. Please proceed.
Atharva Zaveri: Hey. Good morning, everyone. Atharva Zaveri here on behalf of Michael Tupholme. So obviously the strong margin performance has been same year-to-date and there will be an impact of Jacob Bros acquisition. So in terms of EBITDA margin, where do you see for full year 2024? And do you still expect similar margin improvement you saw last year? Or there is room for you to do even that?
Wayne Gingrich: Yeah. I would say so on a trailing 12-month basis, I think we're 5.2% EBITDA margin. We see that building and continuing to improve through 2024. I think consensus estimates probably have us around 5.9% or something like that. And I think certainly that is a floor and probably something with a 6% in front of it is where we end 2024. And then yeah with a full year of Jacob Bros like an extra seven months of Jacob Bros in 2025 certainly we expect that to be accretive to our margins. But what we also tried to say in our outlook section is when you look at our backlog and you look at our pending backlog and you look at the embedded margins that we have those are at a higher level than where we're at. So we would expect our margins just organically to also improve. So I think in 2025 you're going to get the double benefit of having a 12% EBITDA business so Jacob Bros is having 12 months in the figures and then Bird itself is just organically improving its margin profile as well.
Atharva Zaveri: Thank you.
Operator: And at this time there are no further questions in the queue and this does conclude our question-and-answer session. I will now hand the call back over to Mr. McKibbon for any closing remarks.
Teri McKibbon: Thank you all for joining us this morning on our earnings call. We look forward to providing you with more details on our new 3-year strategic plan and updated long-term financial outlook at our Investor Day on October nine in Toronto. We hope to see you there. Thank you very much. Question and Answer Operator Message
Operator: And this brings to the close of today's conference call and webcast. You may now disconnect your lines. Thank you for participating and have a pleasant day.